Operator: Good morning, everyone. Welcome to the conference call for analysts and investors for Infineon's 2024 Fiscal Third Quarter Results. Today's call will be hosted by Alexander Foltin, Executive Vice President, Finance and Treasury and Investor Relations at Infineon Technologies. As a reminder, this call is being recorded. The conference call contains forward-looking statements and/or assessments about business, financial conditions, performance and strategy of the Infineon Group. These statements and/or assessments on assumptions and management expectations resting upon currently available information and present estimates. They are subject to a multitude of uncertainties and risks, many of which are partially or entirely beyond Infineon's control. Infineon's actual business development, financial condition, performance and strategy may therefore differ materially from what is discussed in this conference call. Beyond disclosure requirements, stipulated by law, Infineon does not undertake any obligation to forward-looking statements. At this time, I would like to turn the call over to Infineon. Please go ahead.
Alexander Foltin: Thank you, operator, and good morning, ladies and gentlemen. Thank you for joining the Olympic addition of our quarterly earnings call covering fiscal Q3 2024. The team lineup on our side is well known. You have our CEO, Jochen Hanebeck; our CFO, Sven Schneider; and our CMO, Andreas Urschitz. Jochen and Sven will provide an overview on the market situation and divisional performance, key financials and our outlook. After that, we will start our Q&A session. As usual, the illustrating slide show, which is synchronized with the telephone audio signal is available at infineon.com/slides. As last quarter, we will again provide a PDF with Jochen and Sven's introductory remarks in the course of the call on our website, namely infineon.com/investor. There, you will also find a recording of this conference call, including the aforementioned slides, a copy of our earnings press release as well as our investor presentation. And now, Jochen, over to you.
Jochen Hanebeck: Thank you, Alexander, and good morning, everyone. We have labeled 2024 a transition year, and it is turning out to be just that. The cyclical bottoming process is indeed playing out. The rolling correction is continuing across many of our target markets. Some of them have entered a phase of gradual recovery. This, in conjunction with our structural growth drivers is allowing us to see slight sequential improvements in revenue and segment results in the running second half of our fiscal year. For the full 2024 fiscal year, we confirm our outlook to be well in the previously guided range. And in every downside, it is key to focus on the structural elements. Regarding these, I will comment on three important topics and milestones. First, we see significant traction for our industry-leading AI power franchise where we are gaining sustained strong interest from virtually all relevant customers, many of them obtain for our vertical power solutions. The encouraging momentum is in line with our expectation that this business will double next year and cross the €1 billion revenue mark within 2 to 3 years. Second, to serve the growing demand for wideband gap semiconductors, we will officially open our Kulim 3 facility for silicon carbide power devices later this week. Ramping Kulim 3 will create the industry's leading fab in terms of cost competitiveness and put us in an ideal position to shape this market. Third, our Step Up program with which we are structurally improving our profitability is very well on track to deliver a high triple-digit million euro margin improvement with a full effect becoming visible in the first half of our 2027 fiscal year. Before getting into these aspects, let's have a look at June's quarter's results. Group revenues came in at €3,702 million. The sequential uptick was a bit less announced as some shipments corresponding to a mid-double-digit million euro amount just missed the quarterly cutoff and will, therefore, materialize in the current quarter. The segment results is slightly better than anticipated, €734 million corresponding to a segment result margin of 19.8%, a resilient level for a bottoming cycle and fully in line with our target operating mode. The slight quarter-over-quarter improvement is the result of higher revenue as well as better cost performance dampened by increasing idle charges as expected. Currency effects once again were negligible as the U.S. dollar-euro exchange of $1.08 was very close to the prior quarter's rate of $1.09. Our order backlog at the end of June reached a value of around €22 billion. In times of widely available inventories throughout most supply chains, customers are ordering inside lead times in particular, long-dated orders have been declining, and we are seeing more -- business. Now let's take a look at our divisions. In the third quarter of the 2024 fiscal year, Automotive achieved revenues of €2,112 million, a slight increase in the previous quarter. Volume gains in microcontrollers were slightly outpacing the still ongoing inventory digestion in classical applications. Also, the segment result of €537 million and the segment result margin of 25.4% post slight sequential increases in line with improved volumes. Broadly speaking, Automotive's demand is at the cross-section of ongoing inventory rebalancing and secular content growth. These forces are pulling in opposite directions. In this environment, and also charged by our continued market share gains, we keep seeing growth of around 3% for our Automotive division in fiscal 2024. With unrivaled portfolio brass system competence, we address key growth trends like e-mobility, be it fully battery or the resurgent plug-in hybrid electric vehicles as well as software-defined car architectures with advanced power distribution. Looking at the global adoption of electric vehicles, regional divergence remains pronounced. China sees healthy consumer demand, which helps us particularly given our #1 automotive market position there. Meanwhile, demand in Western markets is tepid. We expect some positive impacts from tighter EU emission targets in 2025 as well as new and more affordable model launches in the coming years. In the interim, plug-in hybrid cars are staging a comeback benefiting our leading IGBT franchise. With a well-filled pipeline of upcoming IGBT generations, we will further push major cost performance improvements in the field. At the same time, we continue to see good traction in our Automotive silicon carbide business with new design wins from an American EV company and a German Tier 1. Together, these design wins cover a volume of more than €1 billion. Significant parts of them were reawarded to Infineon from other players in the industry due to superior technical properties and supply resilience. Our unrivaled -- of all relevant power semiconductor technologies, silicon, silicon carbide and gallium nitride allows us to also come up with novel concepts like our fusion hybrid drive modules, combining silicon and silicon carbide for an optimal cost performance ratio. We are constantly expanding our e-mobility offering, which goes far beyond switches and power systems. Together with a leading automotive system partner, [Swoboda], we have -- the high-performance current sensor. In fully encapsulated modules and designed for seamless integration into our leading hybrid pack drive -- to the sensor enables customers to build the most compact track inverters in the market. Furthermore, within our next-generation RX microcontroller family, we are bridging edge AI to the battery. With a parallel processing unit or PPU, it will be able to run complex battery diagnostic algorithms for accurate, useful life predictions. Recently, we saw a nice confirmation of our leading e-mobility position. -- Land Rover awarded Infineon Supplier Excellence Award, representing our alignment on core values, including teamwork, welcoming challenges together and empowering each other to deliver technical and commercial excellence for the next-generation electric architectures. Moving to Green Industrial Power, which compared to the last quarter saw virtually stable revenues at €475 million, reflecting the late cycle nature of the business. Also, the segment result in June the quarter stayed essentially constant with €88 million in the corresponding segment result margin of 18.5%. Inventories remain elevated throughout industrial supply chains. Underlying demand, however, shows very different patterns, which is why we expect the recovery to be abated from here. Specifically for renewables, structural growth remains strong with photovoltaic installations growing by 24% in 2024 according to PE globally. The same holds true for wind power with an expected high teens percent growth rate in 2024. Once inventories have normalized, order momentum in these application fields will return. Power requirements from EVR charging and AI data centers will further drive demand across the value chain. On the contrary, for core industrial applications like automation and drives, underlying demand remains lackluster at this point in time -- for a prolonged phase of muted development is likely. A few days ago, we announced the design win for a key building block of the sustainable AG transition, grid, storage systems. The Japanese, [Dahin Corporation] will employ our CoolSiC MOSFET 2-kilowatt module, enables high-voltage superior thermal dissipation and high-power density. Infineon has been pioneering the industry with the introduction of the 2-kilowatt class for silicon carbide modules once again. We remain firmly convinced of the highly attractive growth potential of silicon carbide. For the near term, we can fully confirm our revenue growth target for the fiscal year 2024 of about 20% to a level of around €600 million for the company. For the mid- and long term, the ramp-up of our Kulim side, combined with expected 200-millimeter transmission, come into focus. Both have been progressing very well. Indeed, in just a few days from today, on August 8, we will be opening the new Kulim 3 module, complementing our long-term wide-band gap competence center in [Fila], Austria. As a large scale greenfield fab with highly competitive labor cost and unmatched economy of scale, Kulim 3 will significantly strengthen our competitive position in silicon carbide. Our silicon carbide strategy takes off all key satisfaction factors: A globally diversified wafer and -- sourcing network, best-in-class trench devices, the most comprehensive packaging and modeling, superior system understanding, generating from working with the broadest of automotive, industrial and renewable energy customers and going forward, a best cost -- resilient manufacturing footprint, which can be scaled as a function of actual market demand. It is the unique -- of these factors, which sets up the Infineon power business, and particularly of silicon carbide for accelerating success in the coming [indiscernible]. Now over to Power & Sensor Systems, which saw revenues increased sequentially by 5% to €749 million. As anticipated in the June quarter -- the inflection after, a string of 6 consecutive downward quarters. The segment level of PSS increased to €70 million after €64 million in the previous quarter, in each case, corresponding to the same segment result margin of 9.3%. Rising underutilization charges have capital margin expansion. In the majority of consumer compute communication markets, the trough is behind us. Recovery will be somewhat protracted as inventories we still have to be worked through. In this context, Infineon will benefit from unique drivers, first and foremost, our AI power business is scaling up. We have multiple REMS for lateral and vertical power delivery solutions going on. At the same time, we have a comprehensive road map to further increase power density and efficiency with our state-of-the-art modules leading to several exciting launches upcoming customer platforms. Our modules are key to increase rack density and therefore, facilitate higher compute performance. This allows for even more efficient systems on data center level. We are -- doubling our revenue in AI power in the next fiscal year earlier than originally anticipated, crossing the €1 billion revenue line for AI power will occur in the next 2 to 3 years. Furthermore, we see very strong traction with our new seal dual membranes and microphones. In addition to an industry leading signal-to-noise ratio, which is especially beneficial in an AI context, they come with an environment barrier, enabling water-resistant use. This value proposition confirmed by customer wins as well in the manufacturers, together with the smartphone recovery will fuel growth going forward. Moreover, we are beginning to ramp in substantial volume with our own package further expanding our bill of material. Meanwhile, we continue to shave the gallium nitride market, lending a -- design win for high-voltage GaN power switches for power -- British high-end home appliance company. We were selected due to our leadership in GaN technology in combination with our solution-oriented technical competence. This is just one example for GaN-related design wins we are currently accumulating. Lastly, a look at Connected Secure Systems, which is showing basically stable quarterly revenues of €366 million. The segment result of CSS came in at €42 million, corresponding to a segment result -- 11.5%, essentially flat in comparison to the previous quarter. Demand in the IoT and security markets has -- the bottom. Inventories at distributors have come down over the course of the June quarter, paving the way for a slight cyclical recovery. As a huge driver for structural growth over the coming years, we continue to develop exciting new edge AI solutions. Artificial intelligence is moving to the edge, motivated by advantages in terms of latency power consumption and data protection. This will drive new industrial and consumer use cases. To position ourselves for these, we have -- the PSoC 6 AI evaluation kit for embedded edge AI and machine learning systems designs. The new kit provides all the tools required to build intelligent consumer smart home and IoT applications. This unique solution executes Infineon -- sensor data source, providing enhanced real-time performance and power efficiency compared to cloud-centric solution architectures. Now over to Sven, who will present our key financial figures.
Sven Schneider : Thank you, Jochen, and good morning, everyone. In the third quarter of our 2024 fiscal year, we saw a small recovery in revenue with a corresponding margin fall-through. Additionally, mix and cost performance developed favorably. Thus, the adjusted gross margin, which excludes nonsegment result effects came in at 42.2%, a noticeable improvement in comparison to the previous quarter's 41.1%. Our reported gross margin rebounded to 40.2% from 38.6% in the quarter before. These figures continue to be burdened by notable underutilization charges, which currently amount to north of €200 million on a quarterly basis. Our OpEx went slightly up, reflecting among other factors, salary increases that became active in the third quarter. Research and development expenses increased to €509 million from €487 million in the quarter before. Selling, general and administrative expenses saw a sequential uptick to €390 million from €375 million. The net other operating expense was minus €72 million, mostly due to an asset impairment in conjunction with Step Up of plant and machinery at our -- site, which now have only limited or no further use, representing a first -- expense related to the program. These charges are also part of the nonsegment result, which amounted to minus €215 million for the quarter. The financial result for the March quarter was minus €30 million after a negative €12 million in the quarter before. Income tax expense for the third quarter amounted to €88 million, equivalent to an effective tax rate of 18%. Cash taxes for the reporting quarter were €117 million resulting in a cash tax rate of 24%. Our investments into property, plant and equipment, other intangible assets and capitalized development costs reached €700 million in the June quarter, well in line with our revised annual guidance of €2.8 billion. Depreciation and amortization, including acquisition-related nonsegment result effects stood at €470 million in -- fiscal quarter after €467 million in the preceding quarter. Our quarterly reported free cash flow from continuing operations improved to €393 million. Our inventories are plateauing. The reach has been trending sideways at a level of 180 days at the end of June. We continue to expect some inventory reductions towards the end of our current fiscal year, both in absolute and relative terms. We keep a relevant portion of inventories linked to strategic purposes due to footprint optimization in conjunction with Step Up and also as a mitigation of potential geopolitical risks. Gross cash stood at €2.3 billion at the end of the third fiscal quarter including the scheduled repayment of a due U.S. private placement tranche of USD 350 million within the quarter. Our gross debt consequently decreased to €5.4 billion with a gross leverage of 1.2x. Net debt amounted to €3.1 billion, equivalent to a net leverage of 0.7x. Finally, our after tax reported return on capital employed remains at a depressed level, seeing a slight sequential improvement to 7.8% in comparison to 7.5% in the March quarter. Now back to Jochen, who will comment on our outlook.
Jochen Hanebeck: Thank you, Sven. As stated in the beginning, we are in the in -- phase of the cycle. Market conditions are solely improving, but full-scale recovery is not yet in sight. Understandably, market participants are debating whether such a recovery will be LVU or -- shape. Such generalizations are difficult to make. Rather due to the uneven nature of the downturn where some markets entered inventory correction much earlier than others, recovery trajectories will significantly differ. Some markets see a cyclical uptick like smartphones, some see shifting consumer preferences like from battery electric to plug-in hybrid vehicles. Some are lacking end demand like parts of industrial, established industrial and automotive applications and then there are established and newly emerging structural growth vectors like renewable energies, AI for -- or edge AI. In such an environment, a well-diversified business portfolio is -- What is common is that inventory levels are generally still elevated with some disparities across product categories, customers and distributors. That said, the worst of the inventory correction in the value chain is behind us. To enable further depletion, we continue -- demand in most areas to help reduce stock levels throughout the value chain. In addition, short lead time in use more short-term ordering by customers, which together with turns business is creating additional -- in sales outcome -- Over and beyond around the quarter is thus limited. Looking beyond the current transition phase, we see unabated structural growth opportunities for Infineon, mainly coming from our five broad key applications: Electromobility, ADAS, renewables, AI data center and IoT. Talking about it for the currently running fourth quarter and final quarter of our 2024 fiscal year, we expect revenues of around €4 billion, considering the mentioned mid-double-digit -- euro amount that missed the quarterly cutoff in the June quarter. Effective quarter-over-quarter growth will be around 5%. This broadly corresponds to our typical seasonality. All four divisions should contribute with sequentially rising revenues. We expect the growth rate of PSS -- to exceed the one of the group, whereas ATV and GIP should grow at a slower pace. As before, all projections are based on the assumed U.S. dollar-euro exchange rate of $1.10. For the segment result margin, we expect a level of around 20% for the fourth quarter. For the full year -- for the full 2024 fiscal year, we confirm our outlook to be in the previously guided range. Reflecting the latest market conditions, we expect our revenue to come in at around €15 billion, well in line with the €15.1 billion, plus or minus €400 million indicated the quarter before. On a segment level, we expect ATV to grow year-over-year by about 3% and all other divisions to decline, low teens for GIP, high teens for PSS and mid-20s for CSS. Underscoring the resilience of our business model, outlook for the full year, adjusted gross margin and our segment result margin remain unchanged in the low 40s and at around 20%, respectively, carrying the burden of around 450 basis points of cyclical idle costs. As before, our investments for the 2024 fiscal year are expected to be around €2.8 billion, thereof, around €900 million for major front end buildings. For depreciation and amortization and unmanaged value of around €1.9 billion as anticipated. This includes amortization of around €400 million resulting from purchase price allocations, mainly in connection with the acquisition of Cypress, which will end up in our November segment result. Our adjusted free cash flow, net of the GaN Systems acquisition as well as of investments into major front-end buildings and -- is expected to come at around €1.5 billion. This would represent around 10% of sales. For the reported free cash flow, we now expect a level of minus €200 million for the fiscal year, equivalent to around plus €600 million taking into account the GaN Systems purchase. I promised an update on the Step Up program with which we aim at structural improvements. I'm happy to see a great internal buy-in from the management team, aligned with our spirit cultural change initiative to strengthen our competitiveness. We are very satisfied with the measures our teams have identified and worked out. They underpin the stated target of a high triple-digit million euro margin improvement to be fully effective by The first half of our 2027 fiscal year. As a reminder, the levers for improvement are manufacturing productivity, portfolio management, pricing quality and OpExing without compromising our innovation power. We are currently in the final stage of the preparation phase, including discussions with workers' representatives in codetermined jurisdictions. One milestone already achieved is the sale of two our small back-end manufacturing sites in Asia, which has closed just a few days ago. We will provide you all relevant information on Step Up on our next earnings update in November. Now ladies and gentlemen, it is time to summarize. In the third quarter of our 2024 fiscal year, we saw a sequential uptick in sales as well as earnings. In the fourth quarter, further improvements are anticipated on the back of gradual recovery, seasonality and some structural growth. Our markets are bottoming. Recovery has started at a modest pace and progressing unevenly -- some markets entered the down cycle earlier than others. The common denominators are still high inventory levels and short-term ordering by customers. Structural drivers remain intact. The start of silicon carbide device production in our Kulim 3 facility will allow us to shape this market in the future. We are accelerating our AI power business with significant ramp-ups for several customers, some of which already deploy our innovative vertical power delivery solutions. Step Up, the biggest set of self-help measures we have launched in over a decade is progressing very well and will strengthen our profitability in the coming years. Ladies and gentlemen, these were our introductory remarks. It is now on your mark, get set, go for your questions. [Operator Instructions] Operator, please start the Q&A session now.
Operator: [Operator Instructions] And the first question comes from Alexander Duval from Goldman Sachs.
Alexander Duval: My first question is regarding [indiscernible] you think outperforming [indiscernible] on the next quarter, but I wondered if you could clarify if there are any idiosyncratic factors to be aware of? And clearly, on -- and a second follow-up, on your full year guidance, a number of companies have downgraded a lot on the December calendar basis. Obviously, you guys towards September, but I wondered if you could give any hints about the trajectory into the fourth quarter of the current year? You're talking about -- dropping like PSS and CSS, and then secular drivers in Automotive, but obviously, you have some prolonged end market weakness in some of the industrial areas. So how should we think the group level about things going into that fourth calendar quarter? Should we see continued stabilization improvement of -- around that as well?
Jochen Hanebeck: Alexander, at the beginning, the line was bad. Can you repeat the beginning.
Alexander Duval: So the very first question was just that you're outperforming markedly some competitors of yours in terms of next quarter guidance. And so just to understand the key idiosyncratic factors and how sustainable those might be.
Jochen Hanebeck: Yes. Let's start with this one. So as we mentioned many times in the past, our specific structural growth driver are topics like AI power, the well-known automotive MCU share gains in terms of e-mobility, the particular exposure also to the market in China doing well and also some further cyclical uptick for PSS and CSS. But again, growth rate quarter-over-quarter, if you take out this shipments, which just didn't make it to the last quarter is about 5% growth. Beyond that, please accept that we are not giving any guidance for the next fiscal year. But in general, I would say visibility is low, which makes it rather difficult to break anything meaningful. But I'm very confident, the structural growth drivers for the company. And the ones I've mentioned already, it's in general, the power franchise, this play between silicon, silicon carbide and gallium nitride will be a lot of fun for us in the future.
Operator: The next question comes from Joshua Buchalter from TD Cowen.
Joshua Buchalter: I apologize. It's too early for me to -- an Olympics joke to go back with. But to start, maybe you could -- I actually wanted to ask about PSS and CSS. Any more details you can give us on the drivers of the rebound? I mean, as I see it, both segments kind of have to grow double-digit percent sequentially in the fiscal fourth quarter. In particular, is any of that to refill? And could you maybe quantify what's going on in the channel for those two segments in particular? Because that's -- those are the two that are pretty starkly different than some of your peers.
Jochen Hanebeck: We have seen for CSS channel inventory coming down, which is a good signal. For PSS, it's really the smartphone business, which is picking up, I think, in line with the market. But also there, we have sizable structural growth drivers with our microphones, which achieved the next level of differentiation and also of attention from the [HAI] folks. And then in PSS, of course, it's the powering AI story, which is really pushing us from small numbers last fiscal year into this low double-digit million revenue this quarter -- this year, like the €200 million, which then takes us north of €400 million for the next fiscal year. So that's certainly a particular growth drivers where we benefit from the market development, but also in our minds, we are gaining market shares there.
Joshua Buchalter: And as my follow-up, can you maybe give us a little more details on the puts and takes in the gross margin into the fiscal fourth quarter? I think your previous commentary was that 60% of €800 million of underutilization charges were going to be in the second half. It sounded like €200 million in the fiscal third quarter. Are those increasing in the fourth quarter? And I guess, is that as you can now sort of when they should speak?
Jochen Hanebeck: Sven will take that one. A - Sven Schneider Josh, I'll take that one, happy to do so. So first of all, if you look at the Q4 versus Q3 development, there is a positive contribution, obviously, from volumes, and there is a negative contribution from the underutilization charges. And you are absolutely right, I reconfirm that around €800 million is the -- cost number for the full year, give or take, 60%, second half for the first half, within the second half, there is idle even increasing from Q3 to Q4, which is in line with what I said earlier.
Operator: And the next question comes from Andrew Gardiner from Citi.
Andrew Gardiner: I was hoping you can be able to give us a bit of color on the product or technology type that you cited is missing the end of -- has been made up in July. Is there -- was it a specific customer? Or was it product or end market? Or was it broader than that?
Jochen Hanebeck: It's -- look, our logistics teams do a great job quarter-on-quarter. And sometimes, yes, there is just a cutoff. And of course, as a compliant company, we are taking that very serious. And if it's beyond that, then it accounts for the next quarter. So nothing really market or customer-wise behind that one.
Andrew Gardiner: Okay. And perhaps a quick follow-up. Have you noticed any change in customer behavior in recent weeks? I know you often said -- gotten any worse, any better in recent weeks? Clearly, the market is understandably nervous regarding the number of -- through the supply chain. So any additional color you could provide would be helpful.
Jochen Hanebeck: Look, the -- maybe as Andreas can add on here. But I mean, we have a broad customer base. Some customers are eager to understand our capability to supply in the future. All of them are interested in our innovation, and there is a broad, broad mix along line the markets I just mentioned. But Andreas, maybe you're even closer to the customers.
Andreas Urschitz: So what we observe is that customers, why we speak are even more ordering and placing short-term orders. And there we have quite a bunch of turn business, if you will. So here and there, the visibility, if you will, is not as far reaching out, as we all wish it to be. But that's a function of the market cycle we are simply in. So while we are speaking customers move towards ordering within promised delivery times and that's what we've seen. But definitely, we are taking short-term orders.
Operator: And the next question comes from Stephane Houri from ODDO BHF.
Stephane Houri: Yes. So myself also have no jokes to make about the Olympic games. Maybe I have a question about the second comment you made earlier. You basically said you won some business from competitors in the quarter. Can you maybe tell us more about that, the reasons for the win? And if you think that can be repeated in the future, meaning -- market, so fluid that from one quarter to another, you can gain business or lose business from competitors?
Jochen Hanebeck: Yes. I would say, I think it's obvious that in the silicon carbide market, there are a lot of movements. And I think customers, especially in the automotive space are keen to have a reliable source of supply in the long term. So supply resilience, meeting commitments makes a big deal for these customers. And then in addition, it's about innovation, right? It's innovation for cost performance. And I can't go now into the details of these two deals, but in this -- in one case, we simply had a better packaging offering, which fits the needs of the customer well, and that's why they turned to us. And I think this is a good indicator going forward. I can't promise you now €1 billion a quarter, but I can tell you that we are confident that we are building up our silicon carbide franchise very well.
Stephane Houri: Okay. And the follow-up is on the Automotive segment in microcontrollers. You've gained a lot of market share over the last year. Can you tell us if we are going to continue to see the effects of those market share gains going forward or if we have seen the bulk already in the outperformance and the fact that you compensated for some weakness with it? And are you continuing to gain shares as we speak?
Jochen Hanebeck: Yes. I think -- I mean, there are a couple of artifacts, of course, always in market shares, one being, for example, foreign exchange rates. But if you take those out, I think we will see, for the next years, continuous market share gains because we are just now in the transition from the 65 to the 40-nanometer generation, which is now taking over in terms of volume, and our design win pipeline -- confirmed design wins or awarded design wins is even stronger in the 40-nanometer generation compared to 65. So I think we -- up for more market share gains going on. And I also see a good design win trajectory already at some point in time, playing out in the 28-nanometer node. So we are pretty confident on that business. And congratulations to our very amazing opening of the Olympics in Paris.
Operator: And the next question comes from Francois Bouvignies from UBS.
Francois Bouvignies : I have two quick questions. The first one is on Volkswagen. I mean, assuming claim design wins with the SSP platform as a primary source for the silicon carbide in the next few years. I was wondering if there is any implication for Infineon as presumably Volkswagen is one important customers of ours and if it could come on the impact, they still might have or any more clarity on that would be helpful. My follow-up question would be on the PSS. I mean if you look at the numbers and your revenues and you said that it's the first time in 6 quarters that you see growth quarter-on-quarter and Q4 is even improving significantly more. Now if you look at the absolute number, it's not very far from what you were pre-COVID. So I was wondering if we look at the fundamentals of this subsegment with the AI on top, presumably issued grow with a big hockey stick or maybe a big recovery as we get out of this down cycle. Is it fair to assume this kind of trend after 2 consecutive years of constraint that the cycle recovery might be even bigger even with the AI as related to next year?
Jochen Hanebeck: Yes. The first part on the Volkswagen topic, Andreas will cover.
Andreas Urschitz: Yes. Look, regarding this news on Volkswagen, actually, the bidding for that platform happened already 2023. During that time, Infineon, so to say, by intention, refrained from participating in the bidding process, which was mostly due to two factors. The one was just the commercial terms and circumstances in that regard. But the other one was at any point in time, meaning as a company, you have scarcity of resources in both manufacturing capacities and the R&D, we make our considerations on where to put our bets on to. And we decided in that regards to go after much more attractive deals, both in terms of profitability and then also size and scalability by going with companies, Stellantis reported on this and also Hyundai Corporation, that were very much valuable alternatives in that regard.
Jochen Hanebeck: And maybe let me add on this. I would not consider this necessarily a decision for the world of Volkswagen because you can read in the press that Volkswagen is teaming up in China with SAIC, with Xiaopeng and in U.S. with Rivian. And I would see -- I would think that there is a more regionalization of the platforms. And I can tell you that with the three companies mentioned, we are in excellent business relations. Coming back to your second question on PSS. You spotted it rightly that there are some significant growth drivers in the PSS business. On the other hand, of course, there is a part of the business in the cyclical down cycle still. But there are two major growth drivers in that business. You may know that we have put all the GaN, gallium nitride-related business into PSS, which we feel is a very, very strong growth driver. By the way, playing also into the AI world, if you want to build these days, an excellent power supply, let's say, of 8 kilowatts for an AI server, you need all three materials on the spot, gallium nitride, silicon carbide and silicon. And that's one example for what I said before that it will be a lot of fun for us to play out the three materials in various applications. And then, of course, beyond GaN, there is a lot of business also for silicon in the AI space, the power stages and so on and so forth. So yes, indeed, strong structural growth drivers, but part of the business is clearly also in a cyclical area. And in the, let's say, entry level, low-voltage MOSFETs for consumer applications, we will probably give up on those given the competitive pressures in this area, which makes this business less interesting for us. But that has been also the case in the past for -- like for [Ebyline] and so on and so forth. So that's basically the whole story of PSS.
Operator: And the next question comes from Johannes Schaller from Deutsche Bank.
Johannes Schaller: Jochen, you talked quite a bit about the Kulim brand. As we go into next year, just how would you say we should be thinking about the speed of that ramp? I mean, clearly the trade-off between adding fixed costs now at this point in the cycle, but also building that extremely cost-efficient capacity on the other hand, that this fab can be scaled really the kind of function of market demand. Can you maybe talk a bit more about the flexibility you have for that ramp? And then secondly, just on the fusion pack in Automotive, there's been a lot of speculation of these hybrid solutions. How do you see that ramp up? Is that more for one specific customer or a handful? Is that really got a key broad market adoption effect?
Jochen Hanebeck: Yes. Thank you, Johannes. And I take the second question first because, again, it plays into this picture of you need to command all three technologies in order to get the best cost performance matches. And indeed, these fusion concepts are, as we speak, combining silicon and silicon carbide. And we see a lot of market attention. Customers -- interested in this, and I'm sure we will be able to tell you more about design wins in the coming quarters. And by the way, again, there are also concepts going out further than what we have today with this fusion concept. But let me get back to you, your second question on the Kulim ramp. So it follows our pattern that we build a clean room and of course, the infrastructure and so on. And that's what we're going to inaugurate now in 3 days in Kulim for Kulim 3.1, and then we order the equipment as we need it. And there we have, let's say, roughly a lead time of 9 to 12 months in front of us. So we need to make some assumptions over that period of time. Anything beyond, we can wait then for another quarter. So yes, there are some assumptions, but please remember also that we collected about €1 million of prepayments for the Kulim expansion from customers, and therefore, especially these customers are very keen on giving us a good forecast in order for us to be able to deliver on what we have promised in return for this €1 billion of prepayments.
Johannes Schaller: Would you say those forecasts are may be more cautious side or maybe more on the optimistic side? Or would you rather not go into that detail at this stage?
Jochen Hanebeck: I mean they have -- along the lines of the end market, meaning more -- less battery electric vehicles in the Western world, potentially coming more plug-in hybrids in the Western world, still a strong market in China. I think these customers adjusted their forecasts in the last half year. How that plays out in the future, we will see. But please don't forget that if the market turns towards plug-in hybrids, yes, the content per car on an IGBT base compared to silicon carbide, the content for us is less, but the market share is much higher. And again, playing all three technologies, we have continued to invest into IGBTs, which are now very relevant for best cost performance on a plug-in hybrid level because you would know for silicon carbide and a plug-in hybrid. So we will see how it plays out, but we are set up on three legs, and we will win with all three legs. I'm not sure how that works with the soccer team, but that's the picture for Infineon.
Operator: And the next question comes from Didier Scemama from Bank of America.
Didier Scemama: I've got a couple. First, I'd just like to go back again to this hybrid of fusion IGBT carbide and gate driver solutions that you mentioned. Just wanted to make sure I understand the message here. So you're saying that because of your packaging, your display -- incumbents at the customer want is that right? And is that included in the €1 billion design win from [indiscernible]?
Jochen Hanebeck: Yes. I think the two different things. The fusion modules are now coming out for customers to consider and design in. And again, we see a lot of traction there. The two design wins we collected last quarter were not related to the fusion concept. One part of that business is a module business. And another part of that business is more of a, let's say, closer to a discrete package but a very specific discrete package. And this specific discrete package, we came up with a new generation where you can basically achieve the same performance by two switches instead of three switches, and that is what caught the interest of the customer. So it's not related yet to the fusion modules. The fusion modules, I will let you know over the next quarters on the market success.
Didier Scemama: I'm afraid -- and third answer question for you or Sven, whoever wants to take it. So obviously, at the moment -- '25 revenue growth in the consensus is looking for probably like low teens growth. I don't expect you to guide us on '25 at this stage. But what I'm trying to understand from year-end is the percentage for -- '25. And specifically, on the one hand, you mentioned some significant just in practice drivers like AI, like hybrid, market share gains, market controllers. I'm curious also if you can talk about the headwinds specifically whether pricing is a major headwind for you guys next year in Automotive specifically?
Jochen Hanebeck: Yes. Basically, you gave already, on one hand, a perfect summary of our structural growth drivers. Again, it's powering AI, it's e-mobility, it's all the topics we mentioned before. Also, automotive microcontroller. The other area, obviously, is the inventories and the cyclical market. Here, we are cautious, visibility is low and we clearly only want to guide based on facts in the book, and therefore, please understand that we cannot give you at this point in time a summary of all these trends. I'm very confident on the structural growth drivers. But on the cycle in all the different markets, the visibility at this point in time is low, and that's why we are cautious. Sven, go ahead, please.
Sven Schneider : I would never go that far to call any of your questions unfair, by the way. But let's put it that way. The consensus input has shifted quite a bit in the recent days. So let's see where we end up. And the other comment, you're probably a bit tired of hearing that, but please always bear in mind, we are the first to guide November, and we will also be, according to German corporate governance, be obliged not only to guide for a quarter but for a full year. So please give us these 2.5 months to really look into what Jochen considered limited visibility.
Didier Scemama: No, no, I totally understand that. That's why I started by -- third question. I know you are in a very good position, we have to guide on the next fiscal year -- ahead of everybody else when they guide only a single quarter. I'm going to be cheeky and ask a follow-up since you couldn't answer the second one. One question is back to Automotive microcontroller market share gains. I think you on has been very clear about not the sustainability of the share gains, but the underlying drivers. I think one of your key competitors sort of rechanged the name of their business to processes as opposed to microcontrollers, presumably highlighting that they are leaning what they call like low-end automotive microcontrollers to you guys. Is that you think fair description of the share is -- only in the low end? Or are they also in the more higher-end processers as well?
Jochen Hanebeck: Yes. So the market -- let's talk first about the facts. Market is indeed separated in three terms, normally, microcontrollers, SoCs and microprocessors. The later two are sometimes also compared -- combined to microprocessors. Our claim is clearly on the leadership of microcontrollers, which are typically devices, which have embedded memory, have a real-time operating system and serve applications from the edge in the car, all the way to the zone controllers. So the only area we cannot address are these 2, 3 center boxes where there is a big fight between the SoC approach or the MPU approach. And many companies are engaged in that with very high R&D and let's see how it all plays out. Our AURIX family and the one which is in the pipeline is clearly geared towards in the upper end towards the zone controller and we feel comfortable that this proposition. Because if you approach it from a MPU architecture, you are likely to end up with double the price for the customer at the same performance. So we feel stretching our AURIX platform into the zone is a much better value proposition. And that is what I would state, and I refrain from any competitor bashing here.
Operator: [Operator Instructions] And the next question here is Sandeep Deshpande from JPMorgan.
Sandeep Deshpande: My question is, when we look at your backlog, it looks like your order intake in the quarter has weakened sequentially. Is that what has actually happened or some other effects there, which is obscuring it? And following on to the earlier question, essentially, my question would be, would you be able to at least say that based on what you see in your order intake and what you've seen through this quarter at this point, that '25 will be up from '24?
Jochen Hanebeck: So first of all, indeed, a lot of movement within the backlog. You may remember that we always said the picture of the backlog movement versus the revenue is not quite right because the backlog reaches out to very long skilled or requested dates and we are seeing that especially those long-dated orders were diminishing, but that's a normal effect in times of shortening lead times. Customers do not care so much to position orders for the long run. I think Andreas talked already about turns business. We see sometimes or in several areas, turns coming. So very dynamic picture. So still at a very comfortable level. How that all plays out in terms of block for the next year in terms of revenue, I would like to refer back to what I said before that we do not feel that there is a solid base now to predict the cycle for the next fiscal year in all the different end mass. We can only stress again that we are confident on our structural growth drivers playing in nicely.
Operator: And the next question comes from Adithya Metuku from HSBC.
Adithya Metuku: Just the first question is on the inventory correction. You said the worst to the correction is over, and you said you're still under shipping demand in this quarter. As Steve said on its last call that if the auto market today is at 90 million units, then the correction is basically over. I just wondered if you could give us some color on when you think the inventory will end and renewal start shipping to end demand? Is it by the end of this quarter? Is it the end of the quarter after that? Just any color there would be helpful. And second question is on pricing trends. There's been some -- price cuts -- silicon carbide price cuts. I just wondered if you could give us any color on any abnormal price cuts you're seeing other than what you've commented on your last call?
Jochen Hanebeck: So let me maybe start with the second question. So on the silicon carbide, it's -- I think it's a normal behavior that as productivity coming from the wafer substrates from -- of devices from the 8-inch transition, which everybody is working on that the industry makes here forward pricing, and therefore, nothing unusual. In terms of inventories, I think it's very difficult. As is my intro, many different end markets are playing out here. And your question was particularly to Automotive. I would add to the aspect, of course, which is relevant being the total number of cars sold next year. But the other relevant as is how this rebalancing of the inventories play out. If participants in the value chain focus solely on cash flow, we might see further corrections there. We also, of course, then feel see again history repeating itself and -- meaning that in some time to come, then shortages might appear again. So in my mind, the structural growth drivers will play out. The number for cars will be anywhere between 85 and 90 likely. Again, the biggest element to observe is how this rebalancing the auto inventories along the supply chain, starting from our level, but all the way to the OEM -- will play out and whether the lessons learned from the last year is still in their minds or forgotten again.
Operator: And the next question comes from Lee Simpson from Morgan Stanley.
Lee Simpson : And I promise I'll only ask one question. just a Step Up program and really how the impact could be for next year, fiscal year '25. Largely as I hear things today, it looks as you at least trying to shut down two facilities in Asia thus far. You've written down machinery, which I think was in Regensburg. And of course, we'll have some SG&A cuts on top at some point. So I'm just trying to get a sense for what should we expect as the impact from Step Up in fiscal year '25? And will all of those be annualized impact in fiscal year?
Sven Schneider : Yes, Lee, Sven speaking, maybe I'll take that one. So it's -- I would call it, it's a rather back than front-loaded program, which you can understand because we need to, on the one hand, first agree on the appropriate measures, as Jochen also mentioned, in order not to jeopardize the growth potential and not in order to jeopardize the innovation power of the company. Secondly, for some of the topics, I'll give you one example. If we talk SG&A, and that was part of your question, and we transfer, for example, jobs from high-cost to best-cost country, you sometimes also need to pre-invest to a certain extent for a quarter to just materialize that. So I would consider more a back-loaded exercise. We are reconfirming the high triple-digit million euro margin improvement first half of '27. You have seen now, I said it in my part of the intro, a first meaningful part of a one-timer nonsegment result like from [Regesburg], as you mentioned. And we will give you more details on segment results and nonsegment result and also the non-job-related measures also in November.
Operator: And the next question comes from Sébastien Sztabowicz from Kepler Cheuvreux.
Sébastien Sztabowicz: One on silicon carbide. You confirm your forecast for this year, €600 million. Could you help us understand where do you see your revenue ending in silicon carbide in the year 2025? Do you have any visibility extending to next year and maybe a long-term outlook on this specific business?
Jochen Hanebeck: Again, we are not giving guidance on -- neither on individual trends. But clearly, we expect growth for silicon carbide also next year. That's why we will build out a certain capacity for -- in Kulim for silicon carbide. How it plays out long term, again, it's also -- and I refer here to what I have said before is also subject to the success of potential fusion modules for the Automotive space. So I could imagine over the rest of the decade different patterns playing out with respect to silicon, silicon carbide and gallium nitride. But here, I repeat myself, all three will be very relevant for all end markets. Some applications are clearly set for one technology like silicon carbide. Others, will find its sweet spot, for example, in those of soft hybrid modules. And we will play -- build out our capacity for all three technologies along the demand customers award to us.
Alexander Foltin: All right. This means we have reached the finish line of our quarterly call. Time to wrap up. We are concluding our fiscal third quarter conference call. For further questions, please feel free to contact the IR team here in Munich. Take care and enjoy a nice summer break.